Operator: Good morning, afternoon or evening. My name is Jayle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Hamilton Lane Fiscal Fourth Quarter and Full Year 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. A supplemental slide presentation to accompany the prepared remarks can be found on the company's website. After the speaker's remarks, there will be a question-and-answer session.  Thank you. At this time, I would like to turn the call over to John Oh, Head of Shareholder Relations. Mr. Oh, you may begin your conference.
John Oh: Thank you, Jayle. Good morning and welcome to the Hamilton Lane Q4 and Fiscal Year End 2023 Earnings Call. Today, I will be joined by Erik Hirsch, Vice Chairman; Brian Gildea, Managing Director, Investments; and Atul Varma, CFO. Before we discuss the quarter's results, we want to remind you that we will be making forward-looking statements based on our current expectations for the business. These statements are subject to risks and uncertainties that may cause the actual results to differ materially. For a discussion of these risks, please review the risk factors included in the Hamilton Lane's fiscal 2022 10-K and subsequent reports we file with the SEC. We will also be referring to non-GAAP measures that we view as important in assessing the performance of our business. Reconciliation of those non-GAAP measures to GAAP can be found in the earnings presentation materials made available on the Shareholders section of the Hamilton Lane website. Our detailed financial results will be made available when our 10-K is filed. Please note that nothing on this call represents an offer to sell or a solicitation to purchase interest in any of Hamilton Lane's products. Beginning with the financial highlights. For fiscal 2023, our management and advisory fee revenue grew by 18%, while our fee related earnings grew by 10% versus the prior year. This translated into full year GAAP EPS of $3.01 based on $109 million of GAAP net income and non-GAAP EPS of $3.34 based on $180 million of adjusted net income. Lastly, our Board has approved an 11% increase to our annual fiscal dividend to $1.78 per share or $0.445 per share per quarter. This marks the sixth consecutive annual double-digit percentage increase to our dividend since going public in 2017. Our ability to consistently increase distribution to shareholders every year speaks to the growth and strength of our business. With that, I'll now turn the call over to Erik.
Erik Hirsch: Thank you, John, and good morning. Despite the challenging market backdrop, our strong momentum and performance continues. This is mainly due to the dedication and devotion shown by our team around the world. We are working hard to deliver for our clients. It has been nice when that hard work is recognized, and so I begin here by acknowledging a number of notable awards that the firm has recently won. For the third consecutive year, Hamilton Lane was named to Korea Economic Daily's Best of the Best Asset Managers and the only firm who have won this distinction every year since it began. In addition to that, we were awarded with the Secondary Deal of the Year in Asia by Private Equity International and also named at the inaugural Forbes 50 Financial All-Stars list as selected by sector specialists at KBW. These awards exemplify our commitment to our clients and highlight our global leadership within this asset class. We've also continued our growth and reinvestment in the business by announcing our most recent office opening. We now welcome Shanghai to the Hamilton Lane family. Shanghai marks our 22nd office globally and 6th in the Asia Pacific region. Lastly, and before we move to the results for the year, I want to briefly highlight a major annual event for us, the release of the Hamilton Lane market overview. This overview brings together the best of our firm, data, analytics, industry expertise, insights and a little humor. The market overview experience has grown considerably over the years to now include various multimedia aspects alongside the written narrative. Attendance for the broadcast has also continued to expand with over 1,400 attendees joining us live this year, up 35% from last year, and over 3,500 enjoying it on demand. For those who have not had the opportunity to experience the market overview, I would encourage you to visit our website for more information. Let's shift gears now and move to some results for the year. Our total asset footprint, which we define as the sum of our AUM and AUA, stood at $857 billion and represents a 5% decrease to our footprint year-over-year. AUM growth year-over-year, which was over $6 billion or 5%, came from both our specialized funds and customized separate accounts. AUA was net down $50 billion or negative 6% year-over-year, the result of the expiration of a small revenue reporting mandate offset by mark-to-market movements. As a reminder, AUA can fluctuate for a variety of reasons, but the revenue associated with AUA does not necessarily move and lockstep with those changes. This was true for this period, whereby despite a reduction in AUA, revenue actually increased. Turning now to AUM. For fiscal 2023, total few earning AUM stood at $57.3 billion and grew $8.2 billion or 17% relative to the prior year, stemming from positive fund flows across both our specialized funds and our customized separate accounts. Taken separately, $3.7 billion of net fee-earning AUM came from our customized separate accounts. And over the same time period, $4.5 billion came from our specialized funds. Our blended fee rate across both customized separate accounts and specialized funds has recently been increasing over the past few quarters. This stems from the continuing shift in the mix of our fee earning AUM towards higher fee rate specialized funds, most notably our Evergreen products. Moving to customized separate account flows. Fee earning AUM here stood at $34.7 billion, growing 12% over the past 12 months. We continue to see the growth coming across type, size and geographic location of the clients. Over the last 12 months, more than 80% of the gross inflows into customized separate accounts came from our existing client base, which continues to be a steady source of growth for our separate account business. But again, despite a very large installed client base, the remainder of new inflows continue to be driven by new relationships, something of which we are very proud. Let me now turn it over to Brian to cover our specialized fund flows.
Brian Gildea: Thank you, Erik, and good morning, everyone. Growth continues to be strong for our specialized funds. Fee earning AUM stood at $22.7 billion at year-end. Over the past 12 months, we achieved positive net inflows of $4.5 billion, representing growth of 25%. This growth stems from additional closures for funds currently in market, continued investment activity and growth in our Evergreen platform. Let's dive into some of the drivers of this growth, and then I'll wrap with some commentary on our Evergreen platform. Beginning with Secondary Fund VI. Fundraising continues to progress well here. During the quarter, we held the fourth close for the fund that totaled just under $300 million of investor commitments. This close generated $1.8 million in retro fees for the quarter. The total capital raise for Fund VI now stands at nearly $2.0 billion with the fund remaining in market into the fourth quarter of calendar 2023 with both a strong fundraising pipeline and attractive deal flow. Moving on to our Strategic Opportunities Fund, which is our direct credit strategy. We have successfully grown this platform over the past vintages and are now pleased to announce the initial closings for our eighth series. To-date, we have closed on over $338 million of commitments for this most recent period and look to continue to capitalize on the growth in private credit. We'll be in market with this eighth series throughout the remainder of calendar 2023. As a reminder, the prior fund raised nearly $944 million in investor commitment. Next up is Impact Fund II. Since our last update, we've held a number of interim closes for the fund and then subsequently held the final close after quarter end. The funds closed with approximately $365 million of LP commitments. And at this size, Fund II represents nearly a four times increase in commitment relative to the first fund. In addition to the capital raised directly by the fund, we also raised over $500 million of separate account capital as part of the broader platform and together with Impact Fund II speaks to our continued presence as an emerging leader in sustainable and impact investing. We are encouraged by the scaling, the effectiveness of our deal flow and the strong initial results. Let's move now to our Evergreen platform, which continues to perform very well despite the macro environment. The platform currently stands at nearly $3.7 billion of AUM across three offerings and has grown 42% in the past 12 months. For the quarter, we averaged nearly $80 million of monthly net inflows in aggregate across all three of our offerings. The success has been driven by both growing and expanding with our existing distribution channels and adding new distribution relationships. Significantly, we are pleased to announce that our US Evergreen product has now been onboarded on two of the preeminent wirehouse platforms. In addition, we continue to complement our distribution strategy with technology partners who offer differentiated access to our products, namely through tokenization. Our senior credit Evergreen Fund, so with most recent to announce two new tokenized offerings in partnership with Alta and Securitize, which Erik will touch on shortly. Stepping back, while still early days for these new relationships, we look forward to providing their clients with direct and unique access to the private market. Before I wrap, I wanted to take a moment to touch on a number of new funds that we have recently launched. I'll start with our second Infrastructure Opportunities Fund. We successfully raised our first Infrastructure Opportunities Fund with nearly $575 million of investor commitments in and alongside the fund. The platform invested infrastructure transactions, both direct opportunities and secondaries, alongside leading GPs in the global private infrastructure space. The funding has done well to date with the current portfolio generating strong initial returns. We are pleased with the early success and will now look to capitalize on that momentum and grow the platform with the launch of our second fund. Next is the Hamilton Lane Venture Access Fund. We have been actively investing in the venture space since 1996 primarily through our separate account and advisory businesses. With this new product, we'll look to draw upon our long-standing successful track record, alongside the relationships we've forged along the way to provide investors with access to top venture managers by way of primary, secondary and co-investment opportunities through a commingled fund. Subsequent to quarter end, we held the first close for the fund with $105 million of investor commitments. We are encouraged with the early momentum with this inaugural fund and look forward to providing more updates as the fundraise progresses. I'll now turn the call back over to Erik for an update on our strategic technology partnerships.
Erik Hirsch: Thanks, Brian. And as Brian has alluded, we remain active in our pursuit of identifying cutting-edge technology solutions that continue to improve and enhance this asset class. We recently announced a new partnership with Alta who operates one of Southeast Asia's largest digital marketplaces for alternative assets. Alta, together with our existing partnerships with Securitize and ADDX, allows us to tokenize access to Hamilton Lane products and further addresses the continued increase in demand for unique private market offerings from both US and Asian individual investors. We have been at the forefront of driving the tokenization movement in this asset class as we believe it will continue to provide expanded access to a larger universe of global investors. Let me now move on to our balance sheet portfolio and highlight our recent investment in Novata. Recall that Novata 's platform and unique technology enables the private markets to achieve a more sustainable and inclusive form of capitalism by the way of streamlined data collection, analysis and reporting for relevant and important ESG metrics. On February 28th, Novata closed a $30 million Series B round of financing, which Hamilton Lane was proud to lead. We were joined by existing Novata investors, S&P Global and the Ford Foundation, along with Novata's newest investor, Microsoft, through their Climate Innovation Fund as well as adding Northern Trust. In addition, leading general partners investing via their balance sheet or personal partner capital joins around and included Clearlake Capital, Hellman & Friedman, Kohlberg & Company, Lindsay Goldberg and The Vistria Group. Based on the valuation of the Series B round, our investment in Novata is now currently marked at 1.9X our invested capital. Novata has experienced tremendous growth in the short amount of time that we've been in operation. It speaks to the unmet need that Novata is solving for, and we are proud to continue supporting them alongside leading global institutions in furthering their mission. And with that I'll now turn the call over to Atul to cover the financials.
Atul Varma: Thank you, Erik, and good morning, everyone. For fiscal 2023, we achieved strong growth in our business with management and advisory fees up 18% versus the prior year. Our specialized funds revenue increased by $46.2 million or 31% compared to the prior year. This was driven primarily by a $1.1 billion increase fee earning AUM in our Evergreen platform and nearly $2 billion raised from March in our latest Secondary Fund. Retro fees for the year were approximately $2.4 million, stemming primarily from our latest direct equity fund versus a minimal amount in the prior year period. As a reminder, investors that have come into later closes during the fund raise, a retroactive fees dating back to the fund's first close. We expect to generate additional retro fees as we hold subsequent closes for our latest Secondary Fund. Moving onto customized separate accounts. Revenue increased $14.5 million or 14% compared to the prior year period due to the re-ups from existing clients, the addition of several new accounts and continued investment activity. Revenue from our advisory reporting and other offerings decreased $3.1 million compared to the prior year period primarily due to a decrease in revenue from our distribution management business, partially offset by increases in fund reimbursement and reporting revenue. The final component of our revenue is incentive fees. Incentive fees for the year totaled $156.9 million. As we have detailed on prior calls, the increase in total incentive fee during fiscal 2023 stems from the catch up positions that a number of our vehicles were in during the fiscal year. We view these results as episodic and not indicative of a normalized amount relative to the total revenue. Let me now turn to some additional detail on our unrealized carry balance. The balance is down 14% from the prior year period primarily due to the recognition of $156.9 million of incentive fee along with a small mark-to-market movement during the last 12 months. The unrealized carry balance now stands at slightly over $1 billion. Moving to expenses. Total expenses increased $90.4 million compared to the prior year. Total compensation and benefits increased by $69.2 million driven primarily by compensation associated with the increased amount of incentive fees as well as continued head count growth throughout the year. G&A expense for the period increased $21.1 million driven primarily by revenue-related expenses, such as third-party commissions and fund expenses as well as travel and contract expenses, which were limited during the COVID period. Our fee related earnings were up 10% relative to the prior year as a result of the management fee and AUM growth discussed earlier and offset somewhat by the increase in expenses I just outlined. I'll wrap up here with some commentary on our balance sheet. Our largest asset continues to be our investments alongside our clients in our customized separate accounts and specialized funds. Over the long-term, we view these investments as an important component of our continued growth and we'll continue to invest our balance sheet capital alongside our clients. Lastly, in regard to our liabilities, we continue to be modestly levered. And with that, we thank you for joining the call and are happy to open it up for questions.
Operator: Thank you.  Your first question comes from the line of Michael Cyprys of Morgan Stanley. Please go ahead.
Michael Cyprys: Hey, good morning. Thanks for taking the question. I was hoping you might be able to talk about what you guys are seeing in the secondaries marketplace. Just given everything going on from a macro perspective, it would seem like that's an area that could see more transactional activity. So just curious if you could just maybe share some perspective and color on what you're seeing in the marketplace, how you expect that to play out over the next couple of quarters. And from an activity level standpoint, what implications could there be for Hamilton Lane there in terms of maybe pulling forward? Any sort of next fundraising or maybe deploying and charging on committed capital there that could be helpful from a management fee standpoint? And then just any sort of color around bid ask spreads in the secondary market and how that's evolving? Thank you.
Erik Hirsch: Yes, Mike, it's Erik. I'll take that. I think you're certainly seeing an increase in interesting deal activity. But I think as it often happens in the asset class, it takes a while to kind of reach an appropriate bid ask spread. So right now, transaction volumes are relatively muted as I think both sides are still trying to sort through what their outlook is for the market and pricing going forward. I think interest in using secondaries as a way to free up capital for both LPs and GPs continues to rise. I think interest and understanding in secondaries from investors also continues to rise. So I think if the market continues as it is today, I would envision that you could certainly see the potential for faster dollar deployment. On your pricing point, we already charge on committed capital. So the current market environment is not altering any of that dynamic.
Michael Cyprys: Great. And then just maybe a follow-up question, if I could, on the infrastructure platform that you guys are continuing to build out. It sounded like your prior fund and SMA capital you had raised was just under $600 million or so. Maybe you could talk about the opportunity that you see with the next series that you're raising and SMA capital that might be raised alongside. Would you expect that to scale? We also hear it's a bit more challenging environment for raising capital, but understandably, maybe infrastructure a little bit lesser impacted. So just curious your perspective there. And if you could just comment more broadly on the opportunity set that you see in infrastructure. How big of an opportunity could that be for Hamilton Lane? And what part of the infrastructure marketplace are you seeing the more attractive areas to play into?
Erik Hirsch: Sure, Mike. It's Erik. I'll stick with that. So we've been in the infrastructure business for quite some time. We had just been doing it through SMAs as well as a little bit of advisory work. We then launched our first specialized product, which, as you noted, that product alone was really about $600 million, a little bit under, and now having deployed that successfully, we're back to market. We see the space as growing. We see the space as large. We see our footprint in the space as being important, but relatively modest in its size. And so we see a fairly wide opportunity, both here in the US as well as outside to grow that footprint both through SMAs as well as larger specialized products. In terms of where we're spending time across that asset class, I would say, like we do in all the other asset classes, it's broad-ranging. Part of our value-add proposition to the customer is that we're able to go wherever they need us to be. We have a wide variety of expertise and resources. And those resources, again, are deployed around the globe, allowing us to be opportunistic, but also allowing us to meet whatever needs those clients have.
Michael Cyprys: Great. Thank you.
Operator:  Your next question comes from the line of Kenneth Worthington of JPMorgan. Please go ahead.
Kenneth Worthington: Hi. Good morning and thanks for taking the questions. Maybe first, we hear from a number of market participants about the credit environment and that in the US, we're sort of in the golden age of all credit. On the fund side, as Erik, I think, you highlighted, the credit assets continue to grow nicely. What I'm curious about is to what extent are you seeing outsized client interest in the credit separate account operation. And here, is interest in credit actually growing the pie? Are you basically seeing investors come to Hamilton Lane with additional capital to try to take advantage of your all credit capabilities? Or are you seeing more of a change in allocation, maybe from private equity to private credit, which doesn't necessarily grow your overall wallet share? So sort of what are you seeing in private credit on the separate account side?
Erik Hirsch: Sure, Ken. It's Erik. I think it's probably an and. So I don't think it's a question of people's allocation shifting simply from equity to credit. I think it's probably a little bit more sort of multi-factored. So if we sort of start at the beginning, interest in credit, particularly in this kind of a market where rates are higher and there's a bunch of banking dislocation is causing the interest in credit to rise. So you're seeing that here in the US as well as outside the US. I think the notion of this is the golden period, we would be a little bit more tempered than that. I think it's relatively early. I think what's happening across the banking sector is very early. And I think you have a lot of players who are trying to sort through things. And I think from a cycle standpoint, also relatively early and I think what we're going to be experiencing over the next few years. But that means interest is rising. In some cases, credit is much more transactionally oriented more akin to equity co-investing or secondary. And so part of the mix shift that we're seeing is the clients are moving some additional monies away from primary fund commitments into more transactionally oriented investments, credit being a part of that. So while that may not increase wallet share that certainly does increase relative profitability because they do more transaction work. That is simply a higher margin and higher revenue portion than simply doing primary fund work.
Kenneth Worthington: Okay. Great. Thank you. And then, Erik, in some conversations you and I have had, you mentioned that clients are getting more cost conscious given sort of maybe more challenging market conditions. Can you talk about how cost consciousness is manifesting itself in your business? Maybe talk a little bit about fee rates on the separate account side and maybe the advisory business and how you're approaching that given cost consciousness.
Erik Hirsch: Sure, Ken. It's Eric. So I don't think our industry is unique. I think across all industries today, the customer is wanting more for less. We all individually want more for less. Whether that's dining retail, it doesn't really matter. I think the client is looking for more value for their money. I think when you're in this kind of an economic environment, that desire more or less gets heightened. So I don't think there's anything surprising there. I think the onus is then on management to make sure that you are pursuing the right strategic mix of business. Our industry is vast. Our industry is continuing to grow. Our industry has a variety of players and competitors and there's all kinds of business out there. I think what we would say is not all business is equally attractive. Not all clients are equally attractive. And I think a lot of that is reflected in the margin of our business. We've got a better mix shift and that is kind of causing those margins and that operating leverage to be noticeable. And so I think it's -- the trend is not surprising. The fee pressure aspect that is existing is not surprising. I think it's just been a question of what kind of a business have you built, what kind of an operating platform are you capable of running and can you pursue growth while at the same time maintaining attractive margin and profitability.
Operator: Thank you. Your next question comes from the line of Mike Brown of KBW. Please go ahead.
Michael Brown: Great. Thank you. I just wanted to follow up on -- maybe on that discussion there, maybe a little more specifically on the fee rate. So you called out how the blended fee rate has been improving over time, but it looks like this quarter, it did take a step back for both separate accounts and specialized funds. And I understand last quarter had more catch up fee dynamic. But is there anything else to call out there? And what are -- any thoughts on how to think about next quarter or the go-forward beyond that?
Erik Hirsch: Sure, Mike, Eric. I think you're going to just wash through the retro fee impact. And once you do that, if you sort of look at the fees in kind of three big components, so component one would be customized separate account fee. I think their fee rates have been relatively steady. It's probably the part of the business that you do see more fee pressure. Bucket two, specialized funds. Those fee rates are incredibly steady. Our products are well established. They're market leaders. And as a result, we're sort of receiving at or above level kind of market fee rates. And then really, what's driving the fees, frankly, if you look at a longer trend, kind of up into the right, is the Evergreen product. So it's a higher fee rate than our other specialized funds and higher than the SMAs. And so when you look at just the growth of that Evergreen business, coupled with an increasing mix shift towards more specialized funds than Evergreen, that's resulting in that longer-term trend of total fee rates moving up into the right.
Michael Brown: Okay. Great. Glad to hear that. And then just to change gears to the Evergreen platforms here. It's obviously great to hear that you've been added to more wirehouses. What's your expectation for maybe the balance of the year? Is there still a lot of dialogues happening where you could see more wins come through? And then based on either what you've seen historically or based on your expectations, how does it kind of ramp from there? How does the AUM growth ramp with a wirehouse addition? I imagine it's still quite competitive in terms of shelf space, but just interested to hear your thoughts on that.
Erik Hirsch: Sure, Mike, Erik. I'll stick with that. I think getting on those platforms is incredibly competitive. So getting on a top-tier, market-leading wirehouse is very different than simply getting access to an individual wealth management platform. And so accomplishing two of the leading wirehouses, I think, is a significant accomplishment for our platform. I think it's sort of showing both the quality of the product, the quality of the performance and the fact that we have achieved kind of necessary scale for those wirehouses to feel confident that we're able to continue to grow substantially from here. What the flows look like, I think, is to be determined. We'll obviously be reporting on it quarterly. I think we're very optimistic about the nature of the relationships. The initial feedback from both the wirehouse and the underlying customer base is that it's a unique differentiated product and interest and demand feels positive and good. So but as you've heard from others, we're still operating in a fairly choppy volatile retail investor market environment. And so you're both coupling that environment with the education required around what is something that is still relatively new to most investors. And so again, we view this as a long-term march to something that is very, very substantial part of this business. And the fact that in this environment, as we said, we've done literally one month in our history of something other than net inflow, I think, is pretty remarkable. We feel really good about that. And I think the flows that we're seeing now, as Brian referenced, kind of that $80 million of net inflow a month, feels like a terrific place to be, all things considered, and we see continued growth from here.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back to Erik Hirsch for closing remarks. Please go ahead.
Erik Hirsch: Again, thank you for your time. Thank you for the questions. Wishing everyone a safe and Happy Memorial Day and let us all keep in mind those that have sacrificed for us during that time period. So again thank you.
Operator: This concludes today's conference call. You may now disconnect.